Operator: Hello and welcome to Exelon's First Quarter Earnings Call. My name is Gigi and I'll be your event specialist today. All lines have been placed on mute to prevent any background noise. Please note that today's webcast is being recorded. During the presentation, we'll have a question-and-answer session. [Operator Instructions] It is now my pleasure to turn today's program over to Andy Plenge, Vice President of Investor Relations. The floor is yours.
Andrew Plenge: Thank you, Gigi. Good morning everyone. We are pleased to have you with us for our 2023 first quarter earnings call. Leading the call today are Calvin Butler, Exelon's President and Chief Executive Officer; and Jeanne Jones, Exelon's Chief Financial Officer. Other members of Exelon's senior management team are also with us today and will be available to answer your questions following our prepared remarks. You may have seen that we issued our earnings release this morning, our release along with the presentation being used for today's can be found in the Investor Relations section of Exelon's website. As a reminder, the earnings release and other matters that we will discuss during today's call, contain forward-looking statements and estimates that are subject to various risks and uncertainties. As a result, actual results could differ from our forward-looking statements based on factors and assumptions discussed in today's material and comments made during this call. You can find in today's 8-K and Exelon's other SEC filings for discussions of risk factors and other factors that may cause results to differ from management's projections, forecasts and expectations. In addition, today's presentation includes references to adjusted operating earnings and other non-GAAP measures. Both the appendix of our presentation and our earnings release contain information for reconciliations between the GAAP measures and the nearest equivalent GAAP measures. We've scheduled 45 minutes for today’s call. And it is now my pleasure to turn the call over to Calvin Butler, Exelon's President and CEO.
Calvin Butler: Thank you, Andy and good morning, everyone. We appreciate you joining us for our first quarter earnings call. Our team of 19,000-plus employees have entered this first full year of operations after the separation, excited to lead the energy transformation as a premier T&D utility, and it shows in our results. We are delivering our plan on course. I'll start on slide four, covering our key messages. We delivered strong year-over-year growth in the first quarter, earning $0.67 per share on a GAAP basis and $0.70 per share on a non-GAAP basis. These results keep us on track to deliver earnings within our guidance range of $2.30 to $2.42 per share for 2023. This is despite the impact of mild weather, which is a testament to the stability offered by the progressive, largely decoupled rate making mechanisms in our jurisdictions. Operationally, we had our best on record reliability performance at all four of our utilities, with ComEd continuing to operate in the top decile. As it pertains to our rate cases, we are well underway in a number of jurisdictions with three new filings initiated since the fourth quarter earnings call. Building a stronger, smarter, resilient, and cleaner grid requires investment, we are engaging with our stakeholders to align on our shared goals and ensure this investment is compensated fairly, as it is integral to our strategy. On February 15th, Atlantic City Electric filed a distribution base rate case with the New Jersey Board of Public Utilities to support investments in infrastructure to maintain safety, reliability, and customer service for our customers. It also includes initial recovery for ACE’s Smart Meter deployment, which brings a host of benefits that Jeanne will highlight shortly. BGE filed its second multi-year plan on February 17th and Pepco DC filed its second MYP on April 13th. Both NYP rate cases incorporate investments that enable the energy transformations guided by jurisdictional policy, whether it be the Climate Solutions Now Act in Maryland or DC's transformative energy policies like the DC Climate Action Plan. Finally, Pepco expects to file its second MYP, our final anticipated base rate filing for the year with the Maryland Public Service Commission later this month. Jeanne will take the time to highlight the next steps across our open rate cases and provide additional details on the regulatory calendar shortly. Now in working through these rate cases, we have several new commissioners expected across our jurisdictions, including new chairs in place or pending in Illinois, Maryland, and Pennsylvania, and new appointees in Illinois and Maryland. We appreciate the service of the outgoing commissioners and are excited to begin working with the newest members on this next phase of the energy transformation. Given this transformation will be measured in decades, it reinforces the importance of building a shared forward-looking understanding of priorities and needs across a variety of stakeholders, which is accomplished through transparency and collaboration. This kind of approach supports continuity through the inevitable evolution in legislative and regulatory bodies over time. Lastly, we continue to reaffirm our existing expectations to be at the midpoint or better of our 2021 to 2025 and 2022 to 2026, 6% to 8% annualized earnings growth ranges, with dividend growth to match underpinned by the investments we are making on behalf of customers and earning an annual consolidated ROE in the 9% to 10% range during that time. Our diverse deconcentrated capital expenditure plan and predictable investment recovery frameworks contribute to the compelling risk adjusted total shareholder return of 9% to 11% that we offer investors between our dividend and earnings growth through 2026. Our results are built on an operating philosophy that relentlessly pursues Exelon, as is highlighted on the next slide. Slide five reviews our operating performance for the start of 2023. Beginning first with reliability, you can see that our utilities continue to operate at industry leading levels, both in terms of outage frequency and outage duration. Both ComEd and PHI achieved best on record outage frequency performance, and all four utilities achieved best on record system outage duration performance. Now consistent with our focus on continually improving operations and customer value, we are now using total system outage time versus average customer outage duration as one of our reliability metrics. This refined metric better ensures we are comprehensively capturing the customer experience on an equitable basis in each of our service territories. This performance is a testament to the hard work that our employees put in each and every day. It also speaks to the effectiveness of the investments and reliability and resiliency that our utilities have made, providing a great foundation as we discuss with our stakeholders the next phase of investments to support their energy transformations. As it pertains to safety, PHI is now operating at top decile levels, and Pepco is in the top quartile, both up from the second quartile last year, while BGE improved the second quartile from third quartile. Now, while we are encouraged by the progress we have made on the safety front in the company, we have a safety focused zero tolerance culture. We are using targeted training at each of our utilities, such as ergonomics awareness training at ComEd, in light of its move out to second quartile to address the areas driving under performance. Gas order response continues its run of top decile performance with all three utilities performing at world class levels in 2023. PHI responded to all gas owners in less than an hour, achieving a perfect rating. Lastly, I want to spend a moment talking about customer satisfaction. As you can see, our four utilities are operating in the second quartile after three out of the four closed out 2022 in top quartile. While each operating company has unique areas to address, there are a few common trends. For instance, the bar for communicating with customers around outages and reliability continues to be raised as our customers increasingly rely on the grid, whether it be working remotely or charging their cars. They need access to information real time. We are excited about the investments we have made and the tools they already have at their disposal, such as mobile apps, and we will continue to invest and enhancements focused on improving communications. Although, another area of focus is new technology through upgrades to our customer care and billing software. These investments will allow us to provide more options to meet customer needs around billing and other services and enhance self-service options for those experiencing slower turnaround times. But perhaps the primary driver of lower customer satisfaction scores relative to the latest available benchmark as of 2021 is one that is not unique to Exelon. While the inflationary environment has shown signs of abetting recently, particularly around energy supply costs that are a pass-through for us, customers have been impacted by increased costs in many aspects of their lives and businesses. That's why we will continue to focus on maintaining more than average rates and overall bill levels. Again, rates in our cities are 23% below the average rate in the largest cities in the United States, and we have connected customers to increasing amounts of assistance as well, totaling over $1 billion the last two years. But we have to continue to articulate the value customers are receiving, and we will maintain focus on managing our own cost to deliver our products as efficiently as possible. We also address bill impacts and our approach to rate cases. Our proposed deferral of 35% of ComEd 2024 rate increase to 2026 is just one example, as is Pepco's DC proposed expansion of the residential aid and arrearage management programs. Ensure we are leading the industry and customer satisfaction remains a top priority for us. Now, Jeanne will provide an update on our financial performance for the first quarter. Jeanne?
Jeanne Jones: Thank you, Calvin and good morning, everyone. Today I will cover our first quarter financial updates and progress on our 2023 rate case schedule, and I'll also highlight the ways in which our utilities are advancing a smarter, stronger, and cleaner energy grid to better serve all customers. Starting on slide six, we show our quarter-over-quarter adjusted operating earnings plan [ph]. As Calvin mentioned, Exelon earned $0.70 per share in the first quarter of 2023 versus $0.64 in the first quarter of 2022, reflecting growth of $0.06 per share over the same period. Variance in [ph] growth was driven primarily by $0.10 of higher distribution and transmission rates associated with investments and completed rate cases, including the uplift from higher treasury rates, impacting ComEd's distribution hourly. We also benefited $.03 from the rehearsal of other one-time items from 2022, including the discontinued operations adjustment from the separation and the customer refund in Illinois. These items were partially offset by $0.05 of lower earnings due to the sustained warmer than normal temperatures throughout the winter, impacting our non-decoupled jurisdictions in Pennsylvania and Delaware, as well as $0.02 of higher interest expense due to the right interest rates and higher levels of debt at the holding company. There was also $0.70 per share in the first quarter reflects an approximate 30% contribution of the midpoint of our projected 2023 operating earnings guidance range. Historically, we have earned on average 28% of full year earnings in the first quarter. Heading into 2023, we expected Q1 to be a slightly ahead of historical pattern due to the completion of rate cases at PHI and Pepco, rising treasury rates impacting income as are we relative to 2022 and the absence of the one-time item from separation. However, we are also seeing -- we were also seeing the impact of unfavorable weather at Pepco and DPL Delaware. While the weather tempered some of that upside, we still delivered earnings ahead of expectations due to timing at PHI and the recognition of carrying costs related to the carbon mitigation credit balance by ComEd. Looking ahead to next quarter, after factoring in some PHI year-over-year timing items, the relatives EPS contribution in the second quarter is expected to moderate at approximately 17% of the midpoint of our projected full year earnings guidance range. The combination of Q1 and Q2 will result in achieving approximately 47% for projected full year earnings through the first half of 2023. This puts expected results for the first half of 2023 in line with how we performed last year, delivering 48% of our full year earnings in the first half of 2022. On a full year basis, we expect the $0.05 of unfavorable weather experience in the first quarter to be offset with a combination of O&M levers across the platform, favorable depreciation at Pepco, and the full year earnings impact of the carrying cost associated with the carbon mitigation credit regulatory asset balance. With this continued increase in rate base as we deploy capital for the benefit of our customers and our disciplined approach to cost management, we remain on track to deliver expected earned returns at the utilities within our 9% to 10% targeted range by year-end, and affirm our full year operating earnings guidance of $2.30 to $2.42 per share in 2023. In line with past practice, we would not expect to visit protected 2023 guidance until the third quarter and recall, our goal is always to achieve the midpoint or better of that range. Lastly, we are reaffirming the fully regulated operating EPS compounded annual growth target of 68% from 2021 and 2022 guidance midpoint through 2025 and 2026, respectively, with the expectation to be at the midpoint for better of that growth range. Turning to slide seven. As Calvin mentioned, there have been some important developments on the regulatory front since the last earnings call. Let me start by reminding you of two electric distribution rate cases in progress. First, Delmarva Power Delaware has revised a revenue request for a $47.8 million increase based on an updated test period in its electric distribution rate case, both full proposed rates going into effect on July 15th subject to refund. We expect a decision in the second quarter of 2024. Additionally, as discussed previously, ComEd filed its electric distribution multi-year rate plan in January, and we expect intervening testimony due from the Illinois Commerce Commission staff on May 22nd, and evidentiary hearing to be held in late August as the next key milestone. A final order in the ComEd will say [indiscernible] case is expected no later than December 20th. ComEd also filed its 2022 formula rate reconciliation seeking recovery of $247 million in rates effective January 1st, 2024. A key driver at the increase is the impact of US Treasury yields starting to increase from their depressed levels experience during the COVID-19 pandemic, which as you'll recall was reflected in 2022 earnings. First statute in order is expected on the reconciliation by December 17th. Since the last earnings call, there were three numerous cases were filed. First on February 15th, Atlantic City Electric filed a distribution based rate case with the New Jersey Board of Public Utilities seeking a revenue increase of $105 million, reflecting an RV of 10.5%. The filing supports critical investments to enhance service and deliver safe, reliable, and sustainable energy for customers through key programs, including the company's EV Smart Electric Vehicle Program and deployment of the Smart Energy Network Program, which I will highlight later in the presentation. Because of these sustained efforts to modernize the energy grid, eight customers experience the most reliable energy service ever in 2022 with the lowest frequency of electric outages on record. As permitted by New Jersey Law, ACE may implement full proposed rates on November 17th, subject to refund, and a final order is expected in the first quarter of 2024. Next, BGE filed its second multi-year plan with the Maryland Public Service Commission on February 17th, which we provided preview into on our fourth quarter earnings call. Covering the year 2024 through 2026, the multi-year plan details how BGE will invest nearly $2.3 billion annually in the electric grid and natural gas system and nearly $400 million total in electric vehicle and building efficiency programs. These investments will inject nearly $36 billion into the local economy and support an estimated 72,000 jobs as indicated in a study performed by Caldwell [ph] University. Importantly, BGE's infrastructure plan includes more than 300 projects and maintenance programs designed to continue meeting customers' needs, and lay the foundation for the state of Maryland to reach its goal of net-zero emissions by 2045 and order is expected on the proposed plan in December, 2023. As CF noticed, we also requested that the commission provide an order on the proposed reconciliation of 2021 and 2022 costs totaling $77 million of under recovery in parallel with the order on the second multi-year plan. That brings me to slide eight where I want to take a moment to highlight Pepco DC's Climate Ready Pathway multi-year plan that was filed with the Public Service Commission of the District of Columbia on April 13th. Pepco is requesting $190.7 million revenue increase over the 2024 to 2026 period to recover planned capital investments that are intended to enhance the reliability, resiliency, and security of the local energy grid, and to further support the district's goal to be carbon neutral by 2045, one of the most ambitious climate goals in the nation. Specifically, this will be done through investments in equipment and infrastructure that will enable the integration of more renewable energy, such as solar. They will also help customers access and adopt cleaner energy technologies like electric vehicles, and they will allow Pepco to manage load to ensure the electric service customers depend on is available when they need it. As the many maintenance programs included in Pepco's proposed multi-year plan, one involves replacing nearly 24 miles of aging power cables with newer and more modern cables so that all customers experience high quality of service and high reliability. It is the customers and communities that are at the forefront of Pepco's Climate Ready Pathways plan with a central focus on improving the social equity and advancement of affordability of electric service. As part of that commitment, the company is hoping the plan filing proposes several measures to address affordability, including expanding enrollment for the Residential Aid Discount program to include any customer who qualifies for any low income program in the district, as well as enhancing the Arrearage Management Program [ph]. Expansion of these programs would help to further extend the reach of valuable energy assistance, which in 2022 alone provided approximately $21 million to nearly 30,000 Pepco customers in DC or on average $700 per customer. Pepco's multi-year plan comprehensively work to keep service affordable, foster a cleaner energy future, and improve reliability, resiliency, and security through significant investments. This influx of resources directed toward accommodating the next phase of DC's energy transformation is expected to inject more than $580 million in the local economy and support more than 3,800 full-time jobs. An order is requested from the DCPSC by February, 2024, based on a proposed 10-month procedural schedule. All our ongoing rate cases are proceeding in line with expectations and you can find further detail on slide 20 through 24 of the appendix. Moving to slide nine. During the first quarter, we continued to invest capital for the benefit of our customers and are on track to meet our $7.2 billion commitment for 2023. These investments in energy infrastructure are vital to maintaining the high standard of service that we have in serving our customers while also preparing the grid for the clean energy transformation. Today, I would like to talk about how Atlantic City Electric is enhancing the customer experience in South Jersey through the Smart Energy Network program, the last major initial smart meter deployment program planned for Exelon utilities. Smart meters are foundational to a smarter power grid. They enable customers to better understand real-time energy usage in homes and businesses, and they provide enhanced information to make our systems more efficient and resilient. With a broad installation, beginning of September of 2022, ACE employees and their contract partners have been steadily upgrading approximately 30,000 meters per month, and all 568,000 meters are expected to be replaced by mid 2024. When fully installed and operational, the Smart Energy Network is expected to deliver $416 million in operational and customer benefits over the next 15 years. Most notably, these benefits include the ability to restore power faster and more efficiently. And they provide tools that help customers use less energy and save money, as well as a reduced need for estimated billing and the capability to provide more detailed outage information when outages occur. They also allow for better integration of new clean energy technologies, including solar, which has experienced the highest penetration in ACE's territory relative to all of our other jurisdictions at approximately 25% of net peak demand. To put a stand of benefits into perspective on an annual basis, ACE expect to eliminate 134,000 truck loads, reduce major store operations and cost by 10% and save $4.5 million in annual contracted meter reading costs. The Smart Energy Network is a critical step in advancing a cleaner energy future for South Jersey and helping the state meet its climate goals. Leveraging expertise from its sister utilities, ACE is committed to using its collective resources to ensure all customers realize the full benefits of this meter upgrade initiative. This is the power of Exelon platform. As shown [ph] a discussion on our balance sheet on slide 10, as you remember on our last earnings call, we project 100 to 200 basis points of cushion on average over our guidance period for our consolidated corporate credit metrics above S&P and Moody's downgrade thresholds of 12% over the guidance period, demonstrating our commitment to maintaining a strong balance sheet. If the corporate alternative minimum tax was not mitigated through an inclusion of repairs in its calculation, we anticipate being at the lower end of that 13% to 14%. We continue to await guidance from the treasury, which we are optimistic they will issue before year-end. And we remain encouraged by the engagement they have in understanding how its implementation can impact energy infrastructure providers like Exelon. From a financing perspective, we have successfully raised $2.5 billion at corporate and approximately $2 billion for ComEd and the PHI entities. Today we have completed over 80% of our planned 2023 long-term debt financing needs. This positions us well for any unexpected market volatility in the balance of the year. We continue to see strong investor demand for our debt offerings, which is a testament to the strength of our balance sheet and to our value proposition as a premier T&D utility with low risk attributes. To reiterate our equity needs, there has been no change in our guidance to issue $425 million of equity as a holding company by 2025. We'll continue to update you as we make progress on that plan. Thank you, and I'll now turn the call back to Calvin for his closing remarks.
Calvin Butler: Thank you, Jeanne. Let me conclude our prepared remarks with reminder of our priorities and commitments for 2023 as the premier T&D utility. It starts with operations. Operating safely and reliably is our core mission, and you can count on us to focus on that every hour of every day. Secondly, as you heard from Jeanne, we have a full set of rate case proceedings well underway that will set our path for the next three to four years, given our multi-year plan frameworks. The transformation of our energy system requires a lot of coordination and alignment, and we welcome the opportunities to engage with stakeholders on the most effective and efficient means to meet our jurisdictional goals. And third, we are focused on executing financially. We're looking to deploy $7.2 billion of capital this year, more than ever before, while maintaining earned ROEs in the 9% to 10% range and delivering on our 2023 earnings guidance range of $2.30 to $2.42 per share. We have made great progress on our financing plan for the year, while also laying groundwork for future financing needs, and we continue to focus on ensuring our balance sheet is strong. Last, we continue to focus on maximizing the value we provide our customs, and ensuring we are serving them in an equitable manner. As an example of how we are innovating to support a more affordable energy transformation, I'll point to BGE's recent partnership with the City of Baltimore. Specifically, BGE will share responsibility for improving the City's 700 mile conduit infrastructure, reducing the amount the City paid for maintenance capital improvements, and allowing BGE to take advantage of its contracting and construction efficiencies, all while ensuring a healthy conduit system to provide more reliable and affordable power. And beyond our direct operations, we will continue to support our communities beyond providing cleaner, more reliable energy, such as through our more than 75 workforce development programs across our six utilities. Indeed, investments like ACE's Smart Energy Network that Jeanne highlighted benefit greatly from those programs. In anticipation of this investment program, a six-year, 6.5 million job training program was established in 2018 to educate the workforce needed to fill the energy jobs of the future in New Jersey. 14 of our talented employees deploying the smart meter technology are graduates of that development program established five years ago. And we expect to hire more than 15 additional graduates by the end of June, reinforcing our vision of facilitating an energy transformation that will stretch over generations of thoughtful planning and coordination. We look forward to building on the progress made in these first three months and meeting our commitments in 2023. We are delivering on course. Thank you, and we welcome your questions.
Operator: Thank you. [Operator Instructions] Your first question comes to the line of Shar Pourreza from Guggenheim.
Shahriar Pourreza: Hey, good morning, guys.
Calvin Butler: Good morning, Shar.
Jeanne Jones: Good morning.
Shahriar Pourreza: Good morning. So, hey, guys. Just if we could maybe start with Illinois. I mean, we obviously saw the trial outcome last night. Realize you guys have taken a lot of steps since 2020 to improve, but any sort of high level read-throughs to the regulatory construct at this point, or anything remaining for ComEd from a legal or even judicial standpoint. Thanks.
Calvin Butler: Yeah. Thank you, Shar. So first from the start, as you know, Shar, we have cooperated fully with the investigations conducted by the government and our regulators. The deferred prosecution agreement signed in 2020 resolved the Justice Department's investigation into ComEd, but we want to be clear that we have done much more than that. We have made substantial changes to our contracting, lobbying and compliance operations to ensure that the conduct that was at issue in the trial does not happen again at all levels from my office and through -- throughout the leaders of the organization and the 6,300 employees who keep the lights on every day in Illinois. We are committed to the highest standards of integrity and ethical behavior for our business. We have the privilege and the responsibility of [technical difficulty] well over 10 million customers, and we do not take that lightly. But I want to have Jeanne spend some time talking about the other issues that have come as a result of this. And then I'm going to ask Gil, CEO of ComEd, to kind of walk through to your question, the regulatory and legislative proceedings as we move forward. Jeanne?
Jeanne Jones: Yeah. Thanks Calvin. And good morning, Shar. So, as Calvin mentioned, the deferred prosecution agreement, and this resolved our matter with the Department of Justice. But there have been a couple things that we've outlined in our 10-Ks and Qs that were legal matters surrounding the events leading to the DoJ [ph]. And I'll just touch briefly on those. And again, these will all be disclosed when the Q comes out and they continue to be updated and you'll see it when the Q comes out later today. But we did have a security suit derivatives and derivative suits and consumer fraud suits. And then, there was the FCC investigation, so just checking through those. The security suit was filed in 2019, and there's a next court status for that, that's late June. So based on recent development, we have booked a probable loss in this matter of $173 million, but that is expect to be fully recovered by insurance. So there's no earnings or cash impact from that. There are three derivative suits pending, including 1021, and there were a couple new ones filed in April and May of this year. They all assert similar claims and there's no updates from a financial perspective on those. But I would remind you that that one is a little bit different in that any amount recovered were resolved in cash receipt to the company and those types of lawsuits. And then there were three consumer fraud cases filed, two of which have been dismissed, and we just argued our motion to dismiss the remaining case in late April. And then lastly, the FCC investigation continues -- to continue to cooperate fully. But no update on that. And so, that's just kind of a status update, but again, we give kind of a play-by-play the Q for those. And so maybe I'll turn it over to Gil to talk through the multi-year plan.
Gil Quiniones: Yeah. Our proposed grid modernization plan and multi-year rate plan support in 100% alignment with the goals of the Climate Equitable JOBS Act and the Illinois energy policy -- energy and environmental policy goals of an orderly and equitable energy transition here in our state. It is a product of extensive stakeholder process with multiple parties, parties over the past couple of years. As you know, we filed our proposed rate case in January of this year, and we look forward to continue working with all parties openly and collaboratively. As Jeanne mentioned before, the interveners are scheduled to file their testimony this month. Hearings will be in August and the order in December of this year. So, Shar, we're on course and appreciate that question.
Shahriar Pourreza: Perfect. And then, just lastly, Maryland, obviously Calvin set a pretty aggressive offshore wind target last month, 8.5 gigs by 2031. As I guess as we look at the plan today, could we see incremental transmission opportunities at Delmarva, I guess put differently? What do you embed in plan at this point? Thanks guys.
Calvin Butler: So if I can, what you're asking is that from Maryland's offshore legislation that just recently passed, could that have a spillover that's happening along in Delmarva? Is that the question there, Shar?
Shahriar Pourreza: Perfect. And as we're thinking about transmission opportunities, yes, correct.
Calvin Butler: Yeah. I think first and foremost, Shar, the legislation does present an opportunity for Exelon to participate in transmission. The amend legislation, as you know, requires that PJM conduct a study of the transmission system and taking a more holistic approach with that. But it will -- what's nice about it, it will prioritize leveraging existing infrastructure, permitting risks and grid challenges, use of open access of collective transmission systems and avoiding any single contingency items. So this all goes to how Exelon can differentiate itself from others. And as you know, the state has a goal of reaching 8,500 megawatts of offshore wind energy capacity by 2031. And I think we are well positioned to be a part of that. And I have David Velazquez next to me who oversees our transmission. Dave, anything to add there?
David Velazquez: Shar, just to add. Yeah. We do think that there the potential for incremental opportunities on transmission there. We've not included anything in the current plan for opportunities that are there. And the way the legislation reads by the beginning of July in 2025, the JSC or the PSE will direct PJM to issue kind of a competitive transmission solicitation for the transmission that's needed to support the offshore wind.
Shahriar Pourreza: Terrific. Thank you guys so much. Appreciate it.
Calvin Butler: Thank you, Shar.
Jeanne Jones: Thanks Shar.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Paul Zimbardo from Bank of America.
Paul Zimbardo: Hi. Good morning team. Thank you.
Calvin Butler: Good morning, Paul.
Paul Zimbardo: Great. If you could you discuss the O&M savings drivers you mentioned in the script and just at what segments you're expected to realize the offsets for unfavorable weather? I think you said across the platform, which sounds broader than I believe it's PECO and Pepco, where the impacts were from weather.
Jeanne Jones: Yeah. I'll hit on it. And then Calvin feel free to add too. So when you think about the $0.05, it's a combination of levers. And I'll start with what we did to sort of enter this year in a conservative and substantial matter. So we -- you may remember we had some weather and storm favorability last year and we did some derisking at the end of the year to help us in 2023 and beyond. And so that's helpful heading into the year. Second, if you think about where other volatility lies in interest rate exposure, we've really mitigated that risk by having completed our sole corporate financing in the first quarter. So locking that in, and you can see that in the sensitivities in our exact, we have no exposure really on that. And then as you talked about, right, we do have leverage across the business. It would be more focused on areas that hit the bottom line, but then remember at the corporate entity, dollar saved soldier down to all the areas as well. And so it'll be a combination across the platform. In addition to that, as I mentioned we do see some favorable depreciation at Pepco relative to expectations. And then finally, we had -- if you think about the $0.05 in totality, we had a penny of the favorability from the carbon mitigation credit deposit rate on that reg asset. On a full year basis, that's probably going to be about $0.03. So when you put all that together, pure line of sites offsetting the $0.05 and feeling good about the rest of the year and delivering in the range at midpoint or better.
Paul Zimbardo: Okay. Excellent. Thank you. And then changing topics. I saw the [technical difficulty] opportunity, could you quantify how much that could be? And just confirming if there's any offset to rate based, those kind of items are factored into the plan. Thank you.
Calvin Butler: Hey, Shar, you cut out midway through your question. Would you mind repeating that please? I mean, Paul.
Paul Zimbardo: Sure. I was asking about the IIJ, the Infrastructure and JOBS Act. Just I saw that headline during the quarter. If you could quantify what the opportunity could be for Exelon. And just if there are any offsets to rate based from kind of federal financing, if that's incorporated in the plan today.
Jeanne Jones: Yeah.
Calvin Butler: I'll let Jeanne take that and then we'll go from there, please.
Jeanne Jones: Yeah. Thanks Kelvin.
Paul Zimbardo: Thank you.
Jeanne Jones: So the $700 million is what we've applied for, so it's a really competitive process. So it's hard to estimate what portion of that we'll get, but what I can tell you is we haven't factored it in. So if there's -- we're not expecting any meaningful impact to rate base to finance needs, we're reaffirming everything. And then we'll continue to update that -- update you on that as that progresses.
Calvin Butler: And I would just add Paul, understanding, as we've said before, the IIJA and the IRA create tremendous opportunity for us as Exelon utilities specifically to partner with our jurisdictions and drive this energy transition faster. And it also goes to the affordability factor of what we do and how we do within our jurisdictions. So we're working it hard and we're partnering and looking for all the opportunities to really increase in our investments, but more importantly, partner with our communities in this endeavor.
Paul Zimbardo: Yes. No, I know you are. Thank you both very much. Appreciate it.
Jeanne Jones: Thanks Paul.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Steve Fleishman from Wolfe.
Calvin Butler: Hey, Steve.
Steve Fleishman: Hey, good morning. Good morning, Calvin. So just on the Illinois, I guess we're going to get the recommendation soon on the multi-year, the new framework. So obviously, things like capital structure and ROEs and I assume rate base are the key variables. Are there any other -- and then I guess maybe incentives, are those kind of the key issues to monitor in the recommendations or any other things that we should be watching for?
Calvin Butler: Yeah. Thank you. I'm going to let Gil take that in because, he's been intimately involved in the process. Gil?
Gil Quiniones: I think you've pretty much captured. Those are the items that we anticipate. Parties are going to be to be interested in.
Steve Fleishman: Okay. And then I do -- I think there was a minimum capital structure allowed under the bill. Is that still…
Jeanne Jones: Yeah. It's kind of like true.
Steve Fleishman: … to 50%?
Jeanne Jones: Yeah.
Gil Quiniones: Harbor at 50%.
Steve Fleishman: Okay. And the -- I guess my other question, the carrying charge or recovery on the CMC deferral, this is just CMC cost that you're not yet recovering in rates that you're earning a carrying charge on?
Jeanne Jones: That's right. Yeah. It's -- it earns a customer deposit rate, which was zero in 2022 and then was reset at 5% at the end of last year, early part of this year. And so outside relative to expectations for this year. But that reg asset is expected to be collected and wind down by May of 2024. So it's not a future years earnings. But it is helpful this year.
Steve Fleishman: Okay. And then finally on the IRS implementation of IRA and the minimum tax, is there any -- has there been any developments or sense of outcome there? I guess on the -- I guess particularly the repair tax issue or just kind of sitting and waiting?
Jeanne Jones: Yeah. Same status. So still, about $200 million per year. We -- that's all reflected in our guidance and our -- so from an earnings and a credit metric forecast and we give you kind of the sensitivity of where we'll be if it isn't alleviated and where we'll be, if it is. Still, optimistically get regulations by the end of the year and still ongoing discussions with us EI, the industry and treasury on the repair deduction and in general, how the corporate alternative minimum impact energy providers like Exelon. And some further dialogue recently I would say about why the utility industry is different given the capital intensive nature of our business. And so just ongoing dialects, but no new changes to the assumptions or estimates.
Steve Fleishman: Okay. Great. Thank you.
Jeanne Jones: Thank you.
Calvin Butler: Thank you, Steve.
Operator: Thank you. One moment for our next question. Our next question comes on the line of David Arcaro from Morgan Stanley.
Calvin Butler: Morning, Dave.
David Arcaro: Hey, good morning. Good morning. Thanks so much for taking my question. There's a new chair in Illinois. I was just wondering if you had -- have had any initial dialogue or perspectives that you might offer? And how it might be to work together with the ICC going forward, especially given that it's such a busy regulatory year?
Calvin Butler: Yeah. David, thank you for the question. I think, as I said in my opening comments, the transition of leadership and commissioners is part of the process, and so we are really engaging with all stakeholders in a very collaborative process to move forward. But directly to your question, the Governor Pritzker did accept the resignation of Chair Solinsky [ph] and has nominated the incoming first Doug Scott, who as you know, used to be the former Chair of the commission and was very instrumental in the drafting and creating of the Climate Equitable and JOBS Act. And there has been communication, but the communications have been around moving the state's goals forward, and we have heard nothing to date that is taking, that are derailing those efforts. And as Gil alluded to earlier Jeanne, we're still expecting a final order on comments for your multi-year plan by December 20th. So also along with the new chair, they're getting a couple of new commissioners and again, that process continues to move forward.
David Arcaro: Okay. Great. Thanks. And I was also wondering with the ComEd and BGE reconciliations, I was -- I just wanted to check do those -- do there tend to be big swing factors in those regulatory processes, or are they pretty standardized just in terms of what costs fit in and are they smooth recovery processes typically?
Jeanne Jones: Yeah. So on the -- on ComEd, the reconciliation they filed is for the 2022 -- under the 2022 formula rate. So this is a reconciliation that has been going on for 10 years. So I think that that one is a little bit more straightforward. And as I mentioned in my prepared remarks, part of that is just the cash collection of the true up on the treasury rates under the formula rate. You set the rate based on prior year treasuries and then you can recognize it in earnings, but then you true it up in rates later. So that one's pretty standard in the sense that it's been going on and it's sort of clear. The BGE one though is the first reconciliation under multi-year plan in Maryland. And so this will be the first time we're going through it. But there's a framework there to work through. And so that's -- but that order will come in December of this year as well. And I think it's important for this year, but I think it's really important in terms of kind of what you mentioned, right, setting the precedent going forward so that we know what is recoverable, what's not. And you get into a place where you can say, okay, if there's a variance here, I can put up a receivable or reg asset or conversely, if we do well, we put up a liability and we'll get that back to customers. So I think going through that will be helpful as it has been. We've seen in ComEd, once you get through it the first time is very helpful going forward.
David Arcaro: Okay. Got it. That's helpful. Thanks so much.
Calvin Butler: Thank you, Dave.
Operator: Thank you. One moment for our next question. Our next question will be the last one coming from the line of Jeremy Tonet from JP Morgan Securities LLC.
Calvin Butler: Good morning, Jeremy.
Jeremy Tonet: Hi, good morning. Hi. Thanks.
Calvin Butler: Morning.
Jeremy Tonet: Just wanted to dial into Maryland, a little bit more if we could. We've seen changes in the commission and there are these kind of policy goals out there. Just wondering, how you see that affecting BGE, both the electric and gas side, or is that kind of offsetting over time or just wondering updated thoughts about the future of gas there and how the impacts Exelon?
Calvin Butler: Yeah. So great question. And with me, the room, I have Carim Khouzami who's the CEO of BGE. But let me take the initial piece and then I'll turn it over to Carim and see if he has any additional information. So just like Illinois, Jeremy, we're having a transition of a chair of our commission as well as a couple of Governor Moore appointees. Governor Moore has taken a very aggressive position to continue to push decarbonization and transportation electrification throughout the state of Maryland, really rivaling it with California and Illinois and alike and moving forward. Having said that, there is an alignment with the jurisdictional goals of what BGE is doing as well as Pepco Maryl. The gas portfolio within our business is -- we believe it's critical to the long-term decarbonization of the industries as we are going through the process of replacing the gas infrastructure within Maryland. We continue to reduce greenhouse gas emissions in that effort. And we've attacked it as a portfolio approach because reliability of the system and affordability for our customers is critical in our endeavors. So we have communicated that with the state. BGE has been very involved in those conversations, and I'll let Carim just take it a step further if he choose.
Carim Khouzami: Thank you Calvin, and good morning. I think you hit all good points. One of the key points to highlight is in last year's legislative session, the Climate Solutions Now Act, which set forth state goals for us to achieve as an economy wide, laid out a number of working groups where they would determine what is the right path for Maryland going forward. BGE and the other Maryland utilities are at the table with all the other interested parties, and we're working through those issues now, and that will be concluding at the end of this year with recommendations. As Calvin mentioned, there are a number of ways to get to the state goals. We see the pathway that is the most affordable, reliable, and resilient as being one that still includes gas as part of the infrastructure. And we're working with the groups to kind of talk through what is the right path for Maryland, and we do have confidence that will be part of the future.
Jeremy Tonet: Got it. That's very helpful there. And then, just pivoting to results in, just a smaller question overall, but I was hoping you could illuminate a little bit of color on the GAAP to non-GAAP reconciliations there as far as the change in environmental liabilities and the change in perk audit liability, if just a little bit more color on what those items were.
Calvin Butler: Sure.
Jeanne Jones: Yeah. Sure. So on the environmental liabilities, that's a -- the PHI is a legacy issue where we continue to update estimates for remediation of that. So we just slightly increased the reserve there. On the ComEd item, ComEd and on the perk audit had an audit began in 2021. We got draft findings earlier this year. And just based on ongoing discussions, we booked about $15 million of a probable loss. So that's ongoing. But that's kind of the nature of the two. And infrequent unusual as we carver them out from an operating perspective.
Jeremy Tonet: Got it. That makes sense. That's helpful. I'll leave it there.
Jeanne Jones: Thank you.
Calvin Butler: Thank you, Jeremy.
Operator: Thank you. At this time…
Calvin Butler: Is that the last question?
Operator: Yes, that was the last question. And at this time, I would like to turn the conference back over to Calvin Butler for closing remarks.
End of Q&A:
Calvin Butler: Thank you, Gigi. And I just want to take a moment to say thank you for joining us today. I appreciate your engagement and all your questions. And with that, it concludes the call. Have a great day.
Operator: Thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.